Operator: Good morning and thank you for attending today's PHX Minerals Fiscal 2022 Fourth Quarter and Year End Earnings Conference Call. At this time, all lines will be muted during the presentation of the call with an opportunity for a Q&A session at the end. [Operator Instructions] As a reminder, this call is being recorded. I would now like to turn the call over to Steven Li with FMK IR. Please go ahead, sir.
Steven Li: Thank you, operator, and thank you all for joining us today to discuss PHX Minerals fiscal 2022 fourth quarter and year end results. Joining us on the call today are Chad Stephens, President and Chief Executive Officer; Ralph D’Amico, Senior Vice President and Chief Financial Officer; and Danielle Mezo, Vice President of Engineering. The earnings press release that was issued yesterday afternoon is also posted on PHX’s Investor Relations website. Before I turn the call over to Chad, I would like to remind everyone that during today's call, including the Q&A session, management may make forward-looking statements regarding expected revenue, earnings, future plans, opportunities and other expectation of the company. These estimates and other forward-looking statements involve known and unknown risks and uncertainties that may cause actual results to be materially different from those expressed or implied on the call. These risks are detailed in PHX Minerals most recent annual report on Form 10-K as such may be amended or supplemented by subsequent quarterly reports on Form 10-Q or other reports filed with the Securities and Exchange Commission. The statements made during this call are based upon information known to PHX as of today, December 14, 2022, and the company does not intend to update these forward-looking statements whether as a result of new information, future events or otherwise, unless required by law. With that, I would like to turn the call over to Chad Stephens, PHX's Chief Executive Officer. Chad?
Chad Stephens: Thanks, Steven, and thanks to all of you on this call for participating in PHX's fiscal 2022 year end conference call. We appreciate your interest in the company. This year was a year of tangible progress for PHX, and we entered the new fiscal year 2023 poised for significant improvements in our financial results. Our strategic transition began in late 2019 under new leadership. This strategy to high grade our asset base by exiting high cost legacy assets and transition to a low fixed cost pure royalty production model is coming into sharp focus. The results reflect significant improvements in our profitability and cash generation and we expect this trend to continue. We are executing according to our stated plan, growing our royalty reserves through our targeted mineral acquisition program. Both royalty production and royalty reserves reached all-time high levels in the fourth fiscal quarter of 2022. 2023 will prove to be the final year of this formative transition as we plan to divest a material portion of our remaining legacy non-operated working interest assets, after which royalty volumes will represent greater than 90% of total corporate volumes and working interest volumes will be virtually immaterial. Our stated strategy is to allocate capital through the acquisition of existing and near term potential royalty production with a heavy weighting toward natural gas. This strategy is working, delivering returns ahead of our expectations. Encouragingly, our pipeline for acquisitions in our targeted regions remains robust. We operate in something of a sweet spot in the industry with sufficient scale and operational expertise to outperform small competitors, but nimble enough to pursue acquisitions, the size of which are not material enough to capture the larger competitors' interest. In addition, supply and demand for natural gas remains favorable, giving us the commodity price leverage to improve profitability and cash flow. Our plan remains the same, to utilize most of our free cash flow to acquire more natural gas weighted mineral and royalty assets that contain additional development drilling locations, which we expect will quickly convert to increase royalty production volumes. Simultaneously, as we continue to scale and expand profitability, we will be positioned to continue to increase our cash dividend which has risen 125% over the last six quarters. At this point, I'd like to turn the call over to Danielle to provide a quick operational overview and then to Ralph to discuss the financials. Danielle?
Danielle Mezo: Thanks, Jeff, and good morning to everyone participating on the call. At September 30, 2022, our proved royalty reserves increased year over year by 45% to 52.8 Bcfe with the PV-10 of $172.6 million at SEC pricing. And our near term development probable royalty reserves increased 42% to 87.9 Bcfe with a PV-10 of $247.7 million, primarily due to the successful execution of our acquisition strategy and increased drilling activities in the Haynesville and the SCOOP. Our total proved reserves decreased 2% to 81.1 Bcfe with a PV-10 of $237.9 million at SEC pricing, primarily as a result of the divestiture of our legacy non-operated working interest assets as we continue to execute our corporate strategy to exit this portion of our business. Going forward, we expect our royalty reserves to continue to increase and our working interest reserves to continue to decrease. During the fourth quarter, third party operators active on our minerals converted 49 gross or 0.22 net wells in progress or WIP to producing wells, compared to 96 gross or 0.25 net WIPs converted to PDP in the third quarter. The majority of the new wells brought online are located in the SCOOP and the Haynesville. For the full fiscal year 2022, we had 1,318 gross, 1.07 net wells convert to producing compared to 147 gross or 0.56 net wells in fiscal 2021. That is effectively a 100% year over year increase. At the same time, as of September 30, 2022, our inventory of wells in progress also increased to 172 gross or 0.85 net wells compared to 155 gross or zero 0.79 net wells as reported as of June 30, 2022. The continued growth of well conversions and inventory of wells in progress show the repeatability of our business strategy. In addition to well inventory, we regularly monitor third party operator rig activities in our focus areas and observed 26 rigs present on PHX Minerals acreage as of November 28. Additionally, we had 99 rigs active within 2.5 miles of PHX ownership. The number of active rigs on our minerals acreage has stayed consistent quarter over quarter. And it is important to note that active levels near our acreage have increased in our core areas in the SCOOP and Haynesville. In summary, we continue to see heightened development on both our legacy and recently acquired mineral assets and are excited about these positive indicators for increasing our future royalty volume. Now, I will turn the call back to Ralph to discuss financial.
Ralph D’Amico: Thanks, Danielle, and thank you to everyone for being on the call today. We had a very successful fiscal ‘22 from both an operational and financial standpoint. Our royalty production volumes reached an all-time high for fiscal 2022 and adjusted EBITDA increased 64.2% compared to fiscal 2021. For fiscal fourth quarter ended September 30, 2022, natural gas, oil and NGL sales revenues increased 12% on a sequential quarter basis to a total of $21.8 million. For fiscal 2022 -- fiscal year 2022, sales revenues were $69.9 million, which represents an 85% increase over fiscal 2021. Royalty production increased 15% and total production increased 7% on a sequential quarter basis, primarily due to new royalty wells converting to production and the natural decline on working interest wells. For the full fiscal year, royalty production was up 49% to 6.2 Bcfe and total production was up 6% to 9.6 Bcfe. This is above the 35% year over year royalty volume growth rate we discussed in prior calls as operators continue to accelerate the pace of drilling in our core areas. The lower total corporate production growth is primarily attributable to the sales of legacy non operated working interest wells. Royalty volumes represented 71% of total production during the fiscal fourth quarter and 65% during the full fiscal year. Note, that these figures include production from the Fayetteville working interest wells we sold in late September 2022. Pro forma for that sale, our fiscal fourth quarter royalty volumes would represent over 75% of total corporate production volumes. 78% of our fiscal 2022 production volumes were natural gas, which aligns with our long term strategy to natural gas as the key transition fuel for a sustainable energy future. Average prices received for natural gas, oil and NGL in the quarter were up 5% on an Mcfe basis sequentially to $8.42. For the fiscal year prices increased 75% to an average of $7.27 per Mcfe. Realized hedge losses for the quarter were $7 million and $22 million for the full fiscal year. For the quarter, approximately 58% of our natural gas, 62% of our oil and none of our NGL production volumes were hedged at an average price of $3.38 and $44.25, respectively. And for the full year approximately 62% of natural gas, 72% of oil and none of our NGL production volumes were hedged at average prices of $3.06 and $44.25, respectively. Recall, that the majority of these hedged volumes were layered in during COVID in mid to late 2020 at the request of our lenders at the time. The remaining contracts entered into during that time will completely roll off in the next couple of months, which should lead to improved realized prices and higher cash flow assuming the same commodity prices in 2023 that we saw in 2022. Total transportation, gathering and marketing increased 23% on an absolute basis to $1.75 million on a sequential quarter basis and increased 2% to $5.9 million on a full fiscal year over year basis. These expenses are primarily tied to movements in production volumes, but also have an inflation component, which we experienced in recent quarters. Production taxes were flat on a sequential quarter over quarter basis at approximately $930,000, an increase of 67% on a full fiscal year over year basis to $3.2 million. These expenses are primarily tied to movements in both production volumes and commodity prices. LOE associated with our legacy non operated working interest wells increased 7% on a sequential quarter basis to $961,000, and decreased to $4 million on a year over year basis. These figures include the legacy assets in the Fayetteville that we sold at the end of September. Since we announced our strategic shift to a mineral only company, we have sold over half of our legacy working interest wells and expect that LOE will continue to become less relevant to the overall performance of the company. Cash G&A increased 19% to $2.7 million for the sequential quarter and 27% to $9.1 million for the full year, primarily due to wage inflation, higher activity levels and costs associated with our reincorporation to Delaware. Adjusted EBITDA was $8.4 million in our fiscal fourth quarter as compared to $7.2 million in the fiscal third quarter. For the full fiscal year 2022 adjusted EBITDA was $25.8 million compared to $15.7 million the prior year. Net income for the quarter was $9.2 million compared to $8.6 million for the prior sequential quarter. For full year 2022, net income was $20.4 million compared to a net loss of $6.2 million in 2021. We had total debt of $28.3 million as of September 30, and our debt to trailing 12 month adjusted EBITDA remained flat at 1.1 times compared to a year ago, which continues to show our financial discipline as we execute on our growth strategy. On December 7, we entered into an amendment to our credit facility and our borrowing base was reaffirmed at $50 million. We also welcome UMB Bank into our bank group joining Independent Financial in mid first. As part of our effort to streamline our financial reporting and enhance our Investor Relations effort, we are going to migrate to a calendar year reporting schedule in 2023 and change the end of our fiscal year from September 30 to December 31. This will bring us in line with the rest of the publicly traded minerals companies and make it easier for investors to evaluate our business and key performance metrics within the industry group. From an SEC reporting and earnings release standpoint, the company will file four 10-Qs and release earnings four times prior to the next annual report being filed. Our next annual report on Form 10-K will be filed in calendar year 2024 for the fiscal year ended December 31, 2023. We plan to provide forward looking guidance for calendar and fiscal year 2023 when we report our results for the period ended December 31, 2022 in mid-February. Finally, we have made the determination to terminate our at the marketing -- at the market offering program. The costs associated with the program no longer justify keeping the program in place, given how little we have actually used it. In addition, our liquidity position has improved significantly from when we implemented the program a little over a year ago to facilitate the execution of our growth strategy. Note that the shelf registration will remain in place until it expires as this represents good corporate practice. With that, I'd like to turn the call over to Chad for some final remarks.
Chad Stephens: Thanks, Ralph. As you can see, our strategy is financially sound, leading to growth, profitability and cash generation and we are increasingly turning that cash into additional mineral assets to further expand our platform. Our pipeline for acquisitions and our core areas under active repeatable operators with line of sight development is robust and growing and we have a great team that is advancing targets to further our growth. I believe fiscal 2023 will be a tremendous year for PHX, its employees and its shareholders. As we close out our fiscal year end, I would like to thank our dedicated employees for their hard work and congratulate them on achieving outstanding results in 2022. Additionally, I would like to thank our Board of Directors for their support and insightful wisdom they provide in executing our corporate strategy. This concludes the prepared remarks portion of the call. Operator, please open up the queue for questions.
Operator: Thank you. We will now be conducting a question-and-answer. [Operator Instructions] Our first question has come from the line of Derrick Whitfield with Stifel. Please proceed with your questions.
Derrick Whitfield: Good morning all and congrats on your quarter and recent A&D progress.
Chad Stephens: Thanks, Derrick.
Derrick Whitfield: With the -- understanding that you will provide formal 2023 guidance in February, I wanted to focus my question on your royalty production trajectory based on line of sight activity. Can you comment on the trajectory and any sizable well packages you're expecting over the next six months? And looking at pages 16 and 17, it certainly appears you have a wave of activity at Springboard III that's expected to come on?
Ralph D’Amico: Yes. Hey Derrick, it's Ralph. Let me start it and then Danielle is going to chime in as well. I think it's important that if you look at what we converted in fiscal '22, right, we converted 1.08 net wells, right? The gross well is 300 in change, but really the net is the important number to look at. And that grew volumes by upwards of 40% on a year over year basis. As we go into 2023, we have an inventory of wells in progress. So these are wells that have already been spud and are being worked on. Approximately 0.08 in change and we have permits that have been filed of another 0.22, right, which brings the total number of net wells currently being worked on in our asset base to pretty much the same number that we saw convert to PDP last year, right. So if that trend follows, right, even without any probable locations or new permits being filed, which I think is a very conservative assumption. We should see a pretty healthy double digit year over year royalty volumes increase. Obviously, you're starting from a higher base than you did last year, right. But we're pretty encouraged that as the year progresses, right, you may see even additional activity beyond what the 1.07, 1.08 that's currently being worked on our asset base.
Danielle Mezo: And we continue to see very strong activity in the Haynesville, lots of WIPs and DUCs wells in progress out there right now. That will really help to support our royalty growth over the course of the next year. We are also seeing an activity increase in the Springboard III. We've consistently seen five, six wells a quarter being converted out there for the last six quarters or so. But in the recent months, we've seen an acceleration of permits, more drilling and completion activity, particularly for Continental on the East side of the play. So we do expect that to start coming in and supporting our growth as well here in late 2023. So strong activity on both fronts.
Chad Stephens: Derrick, this is Chad. Also we can direct the investment community to our most recent IR slide deck that we're putting out on our website. And in there, you can see that really the tangible sense of our royalty volume growth starts with the number of probable -- gross probable locations we have. We are approaching 2,000 that's in the SCOOP and the Haynesville and some of our legacy STACK. And that's the source of all of this activity that Danielle and Ralph are talking about. And you can see over the last couple of years our gross conversions, which are coming from that probable category have been in the 200 to gross and this time last year it was about 0.5, now it's -- this year it was 1 time. So we doubled the net from last year to this year, which speaks to the interest, the core interest that we're acquiring in these Haynesville locations, the actual royalty interest. And last year at this time, we were about 0.5 net wells in inventory -- drilling inventory and today we're double that, we are about 1. So again, the real source of all this royalty volume growth is the probable locations and those are we have maps, we have geology, we have engineering, we have tight curves, there's operators in the area drilling, they obviously want to develop their leasehold. So it's real, it's tangible and it's going to continue to feed our overall royalty volume growth and that trend that you're inquiring about.
Ralph D’Amico: And I think it's important to note that when we say probable, it's probable location per an SEC definition, because we don't have something written down on paper from the operator that says we are going to drill it within the timeframe that the SEC would deem it as approved and develop the location. I would venture to say that, a significant portion of those probable locations are actually proved undeveloped locations on the operators' books. So it's a little bit of semantics on the definition, but these are -- for oil and gas folks, these are very high quality locations as Chad referenced.
Derrick Whitfield: That's terrific color guys. And Chad, perhaps for you or Ralph, could you speak to the A&D pipeline and the broader environment for minerals in your focus basins in light of your pending working interest divestitures? And separately, are there material non-core mineral divestitures you would pursue as well?
Chad Stephens: Yes. So I attempted to somewhat address that in the notes that we just -- call notes that we just went through. So we are in somewhat of a sweet spot given our -- we're a small company, we need to grow and we are growing. But the deals that we look at and the deal size, there's some food chain out there and the larger companies are focusing on the larger packages, the larger mineral asset packages in the $50 million to $100 million to $150 million range. And we're way down that food chain and we're focused on have been since we started this in late 2019, early 2020. We've been focusing on the deal size as $1 million to $5 million range, which is material to us, moves the needle. And we in 2022 closed, I think, in our press release we talked about $48 million worth of total acquisitions closed in 2022 and that included over 30 different deals to accumulate that $40 million worth of acquisitions. So we're doing a lot of deals. They're all relatively small, but at the end of the day, they all move -- all of those acquisitions collectively move the needle for us in terms of royalty volume growth and royalty reserve growth, which is important to us as well. And we continue to see in that range, the $1 million to $5 million range, we continue to see robust deal flow, we're very confident we can continue the kind of the quarterly deal closings, the money we're spending, the capital we're allocating on a quarterly basis is steady, the steady kind of $10 million to $15 million a quarter deal flow. We see it now. We we're optimistic, we'll continue to see in the areas where -- in which we're focused. So we're very excited about that. I think the Board is confident of that too, because they approved this dividend increase, most recent dividend increase, which speaks to the overall ability for us to continue to grow our royalty volumes and ultimately our EBITDA and cash flow.
Ralph D’Amico: Yes, the good news is, we don't have to chase, we don't have to go elephant hunting for lack of a better term, in terms of bigger deals where there is much bigger competition. We've basically put together a system where we can aggregate quite a few of these smaller deals that Chad talked about and we can very quickly and efficiently redeploy the proceeds from the sale of the working interest assets.
Chad Stephens: So we're really excited about the royalty volume growth trend and we now have over the last, say, three or four quarters have really demonstrated that trend or that ability to grow the royalty volumes. So to address your other question, the non-core minerals, which was the legacy, the old Panhandle Oil and Gas legacy minerals, unleashed open, never had any activity on them or on the margins of these basins and they're not strategic to us. They have no real value to us. Someday, somehow they may be drilled or developed. But under any current technology or commodity price environment, there's -- it's very doubtful that any of these minerals will never return to cash flow in the near term. So we're steadily attempting to sell all those non-core mineral assets and there are small private companies out there, that's their business, that's their strategy. And we're continuing to have discussions with them about piecemealing off from various areas. These non-core minerals, which today we own, Ralph, what about 150 -- 150,000 net mineral acres all over the U.S. So we're continuing to focus on turning that. And we can take those nonmineral sales -- excuse me, non-core mineral sales and redeploy those proceeds into these acquisitions that we're focused on and turn it into cash flow immediately. So again, just a way of -- as I keep referring to high grading the asset base, just improving the overall asset quality and asset base and the interest that are cash flowing for us.
Derrick Whitfield: That's great. Thanks again for the update.
Operator: Thank you. Our next question has come from the line of Donovan Schafer with Northland Capital Markets. Please proceed with your questions.
Donovan Schafer: Hi, guys. Thank you for taking the questions. I first wanted to just kind of reorient ourselves around your hedging approach and philosophy. It's a great kind of reminder and commentary about the hedges you have in place today that are rolling off. It looks like a much lower kind of under the current pricing environment sort of serves as a burden for next year, but it's a much lower burden versus, say, last year as it's kind of rolling off. But -- and that was driven by your lenders going through COVID and the commodity prices have really turned downward. What's kind of your sort of more overall strategy or philosophy review? Do you want to be largely exposed so that you are kind of a vehicle for investors that way who have a view on where commodity prices are going? Or do you want to have more stability there to just kind of help you manage cash flow and how you guys adapt? Do you want to stay above 50% hedged? Do you want to come below 50% hedged to 20% or something? What your overall kind of thinking there strategically going forward?
Ralph D’Amico: One, certainly we have covenants in our credit agreement that require and should put hedges in place, right? And just as a refresher, it's 45% each for oil and natural gas existing PDP. So it's got to be producing today in forward months one through 12 and then 25% in months 12 through -- or months 13 through 18, right? So that's sort of the minimum, right? So for the PDP portion, we tend to think because we don't really have any capital obligations in terms of where cash flow goes, right? We like to use collars, right, which you can see after the hedges that we have to put on in 2020, which were swaps. We've been really using collars, which is a way to sort of protect the downside from any sort of abnormal drop in prices, right, but keep us exposed to the upside. So if you look at calendar 2023, right? We have exposure on the existing collars, all the way close to $7 per Mcf. Generally speaking into the summer, right? In this winter, right, I mean, we're exposed up to almost $12 on upside, right? And we protect our downside, obviously, as well. So I think we're going to -- from an instrument standpoint, we're believers that collars provide the upside, while still giving us some black swan downside protection. And because we don't have any capital obligations, right? I mean, if you have a sustainable lower commodity price environment, we can very easily pivot some of the cash flow that's being used for the acquisition program, right, and pay down debt, which right now we're one times debt to EBITDA is fairly conservative. But if anything happens, we can very quickly pivot and reduce that even further. I think that -- remember that the growth rate that we're showing on royalty volumes, right? All of that is until it becomes production, it's unhedged, right? Because you cannot hedge or you should not hedge production that you don't currently have, right? So I think when all of that shakes out, you may see that on a total production standpoint, in the near quarters, right? You end up seeing that 50% rate. It's probably a pretty good gauge, but a much better pricing, right? And as we look into the future, as new volumes come on, we will layer on additional collars and we'll keep investors exposed to and ourselves exposed to higher prices, while protecting any kind of black swan. So that would happen in early to mid-2020 which Chad and I inherited never happens again.
Donovan Schafer: Okay. And just so to be clear, for collars versus swaps, is it pretty much one to one from the covenant standpoint? They're just -- it maybe changes the math on how they sort of underwrite things that they have there and sort of formulas. But –
Ralph D’Amico: Yes, they are all sort of formulas.
Chad Stephens: Yes, it meets the same requirement. I mean, we're pretty careful on how we structure our collars, they are cost less collars, number one. And number two, the floors are above the price deck that the bank uses, right? So we want to be very transparent with all of our counterparties, right? And I think the bank group has very happy with what we've done and they like our plan going forward.
Donovan Schafer: Okay. That makes lot of sense.
Chad Stephens: Donovan, let me add to that real quick. Just from an overall hedging strategy macro, at the minimum, the bank credit agreement as Ralph said requires us to, but they are our real lifeline to growth. We need to grow and we'll continue to grow and they've been a great partner with us as we found some really attractive acquisitions and they've helped fund those acquisitions. So with -- we want to protect our balance sheet and with that debt even at certain sensitivities if commodity prices -- we feel pretty good about our volumes because the Haynesville is economic, the operators in the Haynesville will continue to drill and our royalty volumes will continue to grow at almost any even a black swan event natural gas price scenario, their wellhead economics at $2 are pretty decent. So our royalty volumes, we think, will continue to grow. So the only thing that could hurt our balance sheet would be some sort of black swan event if gas prices drop. So we want to hedge to protect our balance sheet and protect that bank credit facility as we continue to grow. And as Ralph said, if commodity prices do drop, we're still in good shape even at 2 times debt to EBITDA and we continue to manage it pretty –
Donovan Schafer: It occurred to me if you wanted more commodity -- if you wanted to be lower hedge, you could lower the commitment that the banks are providing for the revolver. But to your point, what you're sort of saying is, it's more valuable to you as sort of a key driver for growth to say, no, no, no, we want to keep that in place so that we can be opportunistic and take action as we see appropriate. And so, the trade-off of that -- the trade off to that is a bit more hedging than like the minimum amount you could get away with, but it gives you that access and gives you that ability to be opportunistic. That's the logic.
Chad Stephens: Exactly. And the collars give us a good upside exposure.
Donovan Schafer: Yes, okay. I want to ask just kind of as a housekeeping question. For what we might expect, how we should think of like a runway for G&A expense? There's a bit of a jump this quarter with transaction activity and then -- but also the last two quarters are a bit elevated from transactions there. And then I know next -- the current quarter, I guess, calendar year fourth quarter right now that we're in, I know you've already done a $10 million in acquisitions there. So if we just -- if we stripped out kind of the acquisition, again, I know you plan to do them going forward, but just for -- as a way to get some kind of bearings around as you could call it normalized or just like the strips down, what should we see as G&A without kind of ongoing legal expenses for mergers and acquisitions and things like that? And also for depreciation, DD&A, just with the Fayetteville divestiture, but that's going to move things down, but then you have the recent acquisitions. So just how to kind of think about that going forward?
Chad Stephens: Yes. Let me address it from a real macro perspective first, then I'm going to let Ralph get into the weeds a little bit. So as we moved -- when I took over as CEO in 2020 and really it was a whole new management team and a whole new technical team that I brought in, we were -- the compensation was set at what was kind of the old Panhandle regime and with the environment we were in 2020, salaries and overall comp was at the bottom. We were a tiny, we had to work through some issues. And so, we're at the kind of the bottom of the pay scale, so to speak, for a company our size. And then we moved out of COVID into 2021, and by the second half of 2021, we're having great success. The overall industry success was that, everybody was doing well, commodity prices are moving up and there was a lot of competition out there from private equity groups that we're trying to fund their management teams and fill their positions that these private equity groups were building out management teams. So there was a natural wage inflation and just an industry competition for employees. And I really liked the team we had put together and I didn't want to lose anybody and it can cost a company a lot more if you lose somebody than to just pay them a fair wage. So between ‘21 and kind of this year ‘22, we were bringing our team up to kind of what was market to make sure we don't lose them and reward them for the good work that they've been doing. So that led to some of the percentage increases you're seeing in the G&A. I don't see it going to be as dramatic. There will be some natural, but I don't -- we're not adding people. We're paying the existing employees more and they're worthy of -- and I want to retain them and keep them as we have this success and build this thing over the next three, four, five, six years. I want to build a real legacy here of high quality employees that have ownership, believe in what we're doing, have ownership in the strategy and the model and they're the ones bringing the shareholder value to you guys. So we just want to reward them and it's market. But I don't see it year over year increasing the way it has over the last few quarters. But Ralph can --
Ralph D’Amico: No, I agree. And I think that I would also encourage you to think about it in a slightly different way too. I mean think about much like our debt, right? So you can actually see our debt from last year to this year has gone up, but we have maintained our leverage statistics the same. We've high graded the asset base etcetera, etcetera. So if you look at G&A relative to operating cash flow, right, as an example, right? I mean, that metric, right, that relational metric continues to improve year over year, even into the future, right? So as Chad said, what we put together is very scalable. And -- but at the same time, we're susceptible like everybody else to the wage inflation that you've seen that everybody is suffering from, right? I mean, this year, what's going to happen in the future? It's a question. But to Chad's point, losing key personnel is possibly a worse outcome. On the DD&A, I would say that working interest DD&A is usually run on a percent depletion basis, right? Whereas minerals has run a little bit differently, it's a straight line depreciation that varies between 20 and 30 years depending on whether it's producing or non-producing. So on a DD&A basis, you should see DD&A come down into the future as the working interest rolls off and we become a close to 100% only mineral business, right? And then it should hold relatively flat or grow depending on how many acquisitions we make, right? So it may grow along with our growth rate of acquisitions relative to the total asset base of the company. But you should see it come down as we exit that working interest side of the business.
Donovan Schafer: Okay. And then just last question, if I can squeeze one more in. Because I think the royalty interest versus working interest dynamic, I think as -- excuse me, I find it particularly fast than anything, because it does create -- it poses on unique challenges in terms of trying to understand things, but I think it also provides almost a lot of kind of concealed upside in some ways where it's like you'll get a 7% sequential growth or total growth in production or I guess the year over year for the full years, but it's like there's a 49% increase in the royalty part and there's this whole turnover underneath then if you think about a barrel of royalty, a royalty barrel versus a working interest barrel, they're just -- the value of those are so different. So -- and then of course, the way this technicality is on how this comes in with reserve reporting. So for the reserve reporting part, I kind of have this idea of, I mean, I wonder I may be able to kind of back into this by comparing past reserve reports or maybe like the Fayetteville divestiture. But I wonder as a way to approximate the difference of how PUDs get booked, would you be able to -- like, would the logic hold here to say if you had one 100 net PUDs that were working interest, like you had 100 net working interest PUDs on the books, would like as a thought experiment, would you be able to look at that same 100 net PUDs currently on your books, this kind of hypothetical, but it's working interest. Would you be able to go back to kind of the auditor or someone or just look at that and say, well, hey, if we took these same 100 net PUDs that we are allowed to book because they're working interest. If those exact same ones were royalty interest instead of working interest, and it’s those exact same 100 PUDs, but now we sort of don't have almost like this quasi, like almost like a sort of assay data effectively from the operator. Now that we don't have that, how does that flow through from SEC? Does that 100 drop to 20 because only 20 have had permits filed. Like, one, I guess, is my logic hold there? Is that like how you would go through that [indiscernible] experiment? And then is it something you could even do or that we might be able to kind of back into from historical numbers?
Chad Stephens: Well, Donovan, what is -- the subject matter you're discussing is kind of an accounting -- a complicated accounting perspective, locations in and locations out that we fortunately do not have to deal with because in January ‘20 when I took over as CEO, the first thing I did was mandate that we will no longer participate in the drilling of a new well as a non op working interest owner and we wrote off all of the PUDs, reserve PUDs that were on our reserve books. So since ‘20, we've had zero non op working interest PUD locations. And all of the locations that we now have, and as I mentioned earlier in Derrick's questions, I directed the call -- the participants on the call here to the approaching 2,000 drilling locations that we have now on our books, those are all since -- we've added those since 2000 -- excuse me, since 2020 when I took over. Those are all royalty interest, mineral royalty interest locations. None are a non op working interest. So we don't have -- we don't have to deal with the accounting rules or accounting of reserve volumes whether it's a working interest or a royalty minerals. So -- but it's pretty simple. We dealt with that in 2020 and –
Donovan Schafer: It was more -- that's helpful. It's helpful reminder. I was almost thinking about it as a term of if you could come back to what that ratio is, it's five to one or whatever working interest PUDs to what you get allowed to book when that's more royalty, then you could work -- you could use it in the opposite direction and then say, oh, well then that means if you've got 50 wells in progress, that would approximately be 250 PUDs or something.
Chad Stephens: Yes, I don't think that math is possible. The reality of it is -- because a working interest PUD may be a probable -- probable in the same section maybe a probable mineral reserve because I don't have the timing schedule from the operator. So you're mixing in so many variables that trying to back into that. From a relational standpoint, just not -- I don't think it's possible –
Donovan Schafer: There's a good amount of room to air, but okay. I got it. Thank you. Appreciate you guys. I'll take the rest offline.
Chad Stephens: Thanks, Don.
Operator: Thank you. Our next question is coming from the line of Jeffrey Campbell with Alliance Global Partners. Please proceed with your question.
Jeffrey Campbell: Good morning and congratulations on the strong year. I want to kind of the shift questions to the divestment of the non op working interest that you referenced in the press release as a major 2023 event. First, can you outline the cadence of the sell off? I mean, is it going to be more of a first half ‘23 front loaded thing or will it be sort of more pro rata over the year? Do you have any color on that?
Ralph D’Amico: Hey, Jeff, it's Ralph. I think it's going to be -- so two things. One is, after at the end of the day yesterday, after we put out the press release, we actually did execute on a purchase and sale agreement for our [coma] (ph) working interest assets in Oklahoma, right? So we have a PSA on hand to sell those assets for proceeds. I think the deal size is $5.1 million closing on January 30, right? So there's definitely some front end loading there. And I think there's some other pieces that we can hopefully get under PSA sooner rather than later. We've already had some discussions around valuation. And then the remainder is, I will personally be disappointed if we don't find a buyer at a reasonable price in the second half of '23. So, it's probably evenly split with the first half happening here very quickly and then the second half happening towards the mid part of 2023.
Chad Stephens: And importantly and it's been our good fortune in late '21 and '22 as we were selling the non op working interest assets that we sold back then, we were -- and Ralph and I were mindful of this, we were trying to manage our volumes and cash flow quarter to quarter. And as we were selling those non op working interest assets, we were quickly ready to redeploy those into deals that we have signed up and we use -- quickly redeploy those proceeds into actual deal closings for minerals in our core areas. And the same dynamic is in play here, we're pretty optimistic that we closed late January on this [indiscernible] deal that we just signed up, we're going to be able to redeploy those cash proceeds into minerals that will flow through to our royalty volumes and cash flow. So that's been the dynamic at play. We didn't want to completely sell everything all at once. But [indiscernible] non op working interest into producing minerals and cash flows. So that's what's at work here and what's in play. And we've been very fortunate to be able to methodically manage that dynamic.
Jeffrey Campbell: Okay. Thank you. And I don't want to try to get too far ahead of guidance [indiscernible]. But just kind of at a high level, if we take what the press release said at face value, which is greater than 90% of the working interest production that is going to get sold in 2023. And then we have the growth in the minerals that Ralph talked about earlier. Is it fair to think that year over year ‘23 will be somewhat flattish relative to ‘22. I mean, this is assuming -- we're not assuming any more acquisitions and any acquired production or an acceleration of drilling beyond what you've revealed now. Just that's kind of the way it looks to me based on what we have to look at right now. Just kind of want to get [indiscernible].
Ralph D’Amico: From a total corporate production standpoint, I think that's fair, right? But keep in mind [indiscernible] royalties have a much higher margin than one molecule of royalties, volumes has a higher margin than working interest, right? So theoretically, if you have the same -- even though if you have flattish corporate volumes, assuming in commodity price environment, which is a big assumption. But if you assume the exact same commodity price environment, you would theoretically see higher cash flow come out of those same volumes because of the difference in [indiscernible] lower cost, higher margins of minerals relative to the interest?
Jeffrey Campbell: Yes. Well, I mean, I think that's sort of the core argument for minerals versus an E& P to begin with, right? It has very attractive defensive characteristics and expect we have one of those Black Swan deals and also it's higher margins. So I think that's a fair point. I wanted to ask the final one on the working interest part. The press release said that that greater than 90% of the production volumes would come from royalties, which doesn't imply that the entirety the non op working interest are expected to be sold in 2023. So therefore, I was wondering, are we still going to see some LOE and some AOR numbers and future financials like carrying into 2024?
Ralph D’Amico: It's possible, right? I mean, it's going to be de minimis in just noise. I mean, I think our targets to be able to completely exit, right? But I can't -- I can’t give you a 100% certainty, right? So there is some room for some noise in that, right. If we get there by the end of calendar '23 and put it in '24, that'd be great. But there is some things in there that we don't control, right? So there's a little bit of wiggle room. But certainly, I hope it's zero in’24.
Chad Stephens: And I don't want to [indiscernible]. But once we get these couple of non op working interest packages out the door and we just signed one as Ralph alluded to and we're working another one as we speak. It’s -- 92% to 95% of our volumes will be royalty. So the other [Technical Difficulty] be derogatory, but they're just material to the [Technical Difficulty]it just won't matter [Technical Difficulty].
Jeffrey Campbell: Okay. That's fine. And I just wanted to ask one last question. In the fourth quarter and afterward, in the subsequent events, you showed continued net royalty acreage acquisitions. And I'm assuming that they were in the SCOOP and in the Haynesville, I think that was articulated in the press release. Can you comment on the percentage split between the SCOOP and the Haynesville that you're acquiring these days? And will these percentages be similar in the 2023 acquisitions to come?
Ralph D’Amico: So I would say that third to -- probably closer to three quarters of the acquisitions are in the Haynesville and the remainder is in -- by number of acres or deal value and the rest is in in the Springboard area of the SCOOP. The Springboard is a much smaller geographic area, right? And with all of the activity that Continental is doing in there, right, it becomes -- it's not as -- we're still finding very good value proposition there. But it's not the same as it was a year ago, right? So the Haynesville, it's got a much bigger footprint, right? And it gives us more opportunity in there. So I would say, yes, about three quarters would be Haynesville [indiscernible]
Chad Stephens: Just to talk quickly about Springboard III. So there's two -- clearly Continental has the largest leasehold position in our area of interest. We have a kind of a boundary or an outline in which we've been acquiring minerals. And there were two things in play there. One, Harold Hamm was trying to take his company private, which he just successfully did here recently. And so he didn't want to -- he didn't want to advertise too much of what he was doing there or drive his share price up too much by announcing good wells, good results in that area. And then secondly, they've been doing a bit of kind of well analysis that the best way to drill the wells and the best angles and the best -- and there's two different zones there and they're testing both zones. And once they finish some of this plants, they'll get into what we call mow the grass scenario where those got five or six rigs and they're just marching down the line drilling and developing these wells and that probably gets to a year away. But that's what they've done before. That's the way they always develop these areas. They did it in Springboard I asset, you can see what they did up in Grady Count in Springboard I. So they'll do the same thing in Springboard III and we're excited about that. And as we've acquired minerals in this area, we've run up against Continental, who's got Franklin and Nevada who funds them and buys minerals underneath the wells that they drill. So we're fortunate to have gotten the position we have in Springboard III ahead of Continental.
Jeffrey Campbell: Got it. Okay. That's very helpful. I appreciate it. Thank you.
Operator: Thank you. Our next question has come from the line of Nicholas Polk with Seaport Research. Please proceed with your questions.
Nicholas Pope: Hey, good morning, everyone.
Chad Stephens: Hey, Nick.
Nicholas Pope: Real quick, just looking at the recent quarter, you all switch to being a cash tax payer. I was curious what thoughts are kind of over the near term? What that kind of income tax rate looks like? How much you'll expect to be deferred? Now that kind of we're in that regime?
Chad Stephens: Yes. It is -- it's a high quality problem, right? I mean, as we're not drilling wells and not generating any IDCs, much like every other mineral company out there where we've now become a cash taxpayer, right? And our estimate is that, it's roughly in the low teens is what your cash tax rate is, right? The tax rate itself is a bit higher, but you can defer some of it. So our estimate is going to be in the low teens.
Nicholas Pope: Got it. It's been a long call. That's all I had. I think everything else has been asked guys.
Operator: Thank you. We have reached the end of our question and answer session. I would now like to hand the call back over to Chad Stephens for closing comments.
Chad Stephens: Thank you, operator. Again, I'd like to thank our employees and shareholders for their continued support. I'd also like to note that Ralph and I will be expanding our investor marketing activities over the coming weeks and months through a series of non-deal road shows and conference presentations aimed at expanding investor awareness. If you would be interested in meeting, please don't hesitate to reach out to myself, Ralph or the folks at FNK IR. We look forward to hosting our next quarterly call in mid-February. Thank you and have a good day.
Operator: Thank you. This does conclude today's teleconference. We appreciate your participation. You may disconnect your lines at this time. Enjoy the rest of your day.